Operator: Greetings. And welcome to the Kaiser Aluminum Corporation’s Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Kim Orlando with ADDO Investor Relations. Please go ahead.
Kim Orlando: Thank you. Hello, everyone. And welcome to Kaiser Aluminum’s fourth quarter and full year 2024 earnings conference call. If you have not seen a copy of our earnings release, please visit the Investor Relations page of our website at kaiseraluminum.com. We have also posted a PDF version of the slide presentation for this call. Joining me on the call today are Chairman, President and Chief Executive Officer, Keith Harvey; and Executive Vice President and Chief Financial Officer, Neal West. Before we begin, I’d like to refer you to the first four slides of our presentation and remind you that the statements made by management and the information contained in this presentation that constitute forward-looking statements are based on management’s current expectations. For a summary of specific risk factors that could cause results to differ materially from the forward-looking statements, please refer to the company’s earnings release and reports filed with the Securities and Exchange Commission, including the company’s annual report on Form 10-K for the full year ended December 31, 2023. The company undertakes no duty to update any forward-looking statement to conform the statement to actual results or changes in the company’s expectations. In addition, we have included non-GAAP financial information in our discussion. Reconciliations to the most comparable GAAP financial measures are included in the earnings release and in the appendix of the presentation. Reconciliations of certain forward-looking non-GAAP financial measures to comparable GAAP financial measures are not provided because certain items required for such reconciliations are outside of our control and/or cannot be reasonably predicted or provided without unreasonable effort. Any reference to EBITDA in our discussion today means adjusted EBITDA, which excludes non-run rate items for which we have provided reconciliations in the appendix. Further, Slide 5 contains definitions of terms and measures that will be commonly used throughout today’s presentation. At the conclusion of the company’s presentation, we will open up the call for questions. I would now like to turn the call over to Keith Harvey. Keith?
Keith Harvey: Thanks, Kim, and thank you all for joining us for review of our fourth quarter and full year 2024 results. Turning to Slide 7, our results for the year met our expectations for both conversion revenue and margin expansion. This was our second consecutive year of EBITDA margin expansion, increasing by approximately 60 basis points year-over-year. More notably, it has expanded by 460 basis points since the low established during the pandemic in 2022. In 2025, we expect to continue our progress towards achieving our EBITDA margin goals in the mid-20% range, which I will describe later. The market backdrop in 2024, really since the start of the pandemic, has been complex and rapidly changing. I’m extremely proud of the work our team has done to position the company for an inflection in our performance while maintaining our unwavering focus on the execution on our longstanding commitment to meet our customers’ needs, a foundational element of our business. There were challenges in each of our end markets in 2024, particularly in Packaging, as we worked hard to meet the strong demand of our customers. As a result, we are bringing significant investments online this year to meet this growing demand, along with other investments across our portfolio, of which I’ll have more details to discuss later in the call. We expect market conditions to stabilize and become more favorable as we move through 2025, and believe the momentum we have been building over the last several years puts Kaiser in a very strong position for the future. Now let me turn the call over to Neal for more details on our 2024 results. Neal?
Neal West: Thank you, Keith, and good morning, everyone. I’ll begin on Slide 9 with an overview of our 2024 full year shipments and conversion revenue. Our full-year total net sales were just over $3 billion. After adjusting for the hedge cost of alloy metal of $1.57 billion, our conversion revenue for the full year was $1.46 billion, a decrease of $10 million or 1% compared to 2023, while total shipments were down 24 million pounds or 2%. Looking at each of our end-market applications in detail, Aero and High Strength conversion revenue totaled $530 million, down $4 million or approximately 1%, reflecting a 4% decline in shipments over last year. The strength of our customer contracts, high-quality products and superior customer service, along with our diverse portfolio of products used in business defense, space and commercial end-market applications, helped to offset short-term disruptions within the commercial aircraft OEM order patterns, which have impacted the entire commercial aircraft production supply chain. Packaging conversion revenue totaled $490 million, down $13 million or approximately 3%, reflecting a 3% decline in shipments or 20 million pounds over 2023. From an industry perspective, underlying demand remained strong, with our shipments continuing to sequentially increase for the fifth consecutive quarter. General Engineering conversion revenue for 2024 was $313 million, up 3% year-over-year, due to a 6% increase in shipments, despite operating in a very complex market. We are encouraged that pricing remained relatively stable, regardless of uneven demand and import pressures. We continue to believe we earn a premium for our products, driven by our KaiserSelect product portfolio and industry-leading service and quality. And finally, Automotive conversion revenue was $120 million, up 3% over 2023, on a 3% decline in shipments, primarily due to an improved product mix of higher value-added products. Additional details in conversion revenue and shipments by end-market application can be found in the appendix of this presentation. Now moving to Slide 10, reported operating income for 2024 was $88 million. After adjusting for non-run rate costs of approximately $12 million associated with the closure of our Sherman, Texas facility in June of 2024 and an increase in legacy environmental reserves, our adjusted operating income was $100 million, down $1 million from 2023. In addition, 2024 operating income included a $9 million increase in depreciation expense as we commissioned our growth in quality-driven capital investments during the year. Our effective tax rate for the full year 2024 was 26%, compared to 16% in 2023, due primarily to an increase in valuation allowance on certain state operating losses and credits. For the full year 2025, we expect our effective tax rate before discrete items to be in the low-to-mid-20% range under current tax regulations. We anticipate that our 2025 cash taxes for federal, state and foreign taxes will be in the $5 million to $7 million range. Reported net income for 2024 was $47 million or an income of $2.87 per diluted share, which was relatively consistent with the 2023 reported net income, an income of $2.92 per diluted share. After adjusting for pre-tax, non-run rate net gain of approximately $7 million, which primarily included non-strategic land sales and insurance settlements related to prior year claims, partially offset by restructuring and legacy environmental charges, adjusted net income for 2024 was $41 million or income of $2.51 per adjusted diluted share, compared to an adjusted net income of $44 million or income of $2.74 per adjusted diluted share in 2023. Now turning to Slide 11, adjusted EBITDA for 2024 was $217 million, up approximately $7 million from 2023. Adjusted EBITDA as a percentage of conversion revenue improved by approximately 60 basis points from 2023 to 14.9%. The improvement in adjusted EBITDA was driven primarily by improved product mix, partially offset by higher personnel and energy costs. We remain focused on improving operating efficiencies, executing on our recent capital investments, implementing our metal sourcing strategy and reducing costs in our business. Now turning to a discussion of our balance sheet and cash flow. At the end of December 2024, total cash of approximately $18 million and approximately $553 million in net borrowing availability in our revolving credit facility provided total liquidity of $572 million. There were no outstanding borrowings under our revolving credit facility during and as of the quarter end December 31st. Our total liquidity position remains strong. As a reminder, our senior notes interest costs have fixed at $48 million annually and we have no debt maturing until 2028. As of year-end, our net debt leverage ratio is 4.8 times against our target leverage ratio of 2 times to 2.5 times. Turning to capital allocation, our full year 2024 capital expenditures came in at $181 million. With the fourth coating line investment work largely done at our Warwick facility, we expect our 2025 capital expenditures to be closer to our expected run rate at approximately $125 million, including some remaining costs for the fourth coating line project at Warwick and our Phase 7 expansion at Trentwood. As a result, we currently estimate greater than $100 million of free cash flow for the year 2025, which we define as cash flow from operation less capital expenditures, driven by the lower capital expenditures and reduced working capital demands across the portfolio. Additionally, in 2024, we returned approximately $51 million to our shareholders through dividend payments, marking our 18th consecutive year of dividend payments to our shareholders. On January 14th, we announced that our Board of Directors declared a quarterly dividend of $0.77 per common share, which underscores the continuing confidence our Board and management team have in our long-term strategy to improve our profitability and increase stockholder value. Finally, we have begun to assess alternative inventory accounting methods other than LIFO. We expect to provide an update on the assessment prior to the release of our first quarter 2025 results. And now I’ll turn the call back over to Keith to discuss our 2025 outlook. Keith?
Keith Harvey: Thanks, Neal. Before I share our outlook for 2025, I’d like to take a step back and talk for a moment about the business approach that has served us well for decades and how it’s setting us up for success in the future. First, we are focused on niche areas in our served markets that have very demanding applications and present significant barriers to entry. In those areas, we have built strong competitive positions through product differentiation and established longstanding relationships with blue-chip customers in those markets. In addition to ensuring quality, on-time delivery performance and continued strong customer satisfaction levels, maintaining our long-term customer relationships comes down to a strong understanding of our customers’ evolving needs. The mutual commitments we have made with our customers help to prioritize our business decisions. As demand for our products grows, our customers expect us to invest for additional capacities to meet their needs and, in turn, commit to us as a key long-term strategic supplier. These commitments support the investments we are continuing to make, such as upgrading our Warwick rolling mill to produce a greater mix of coated products to meet the needs of our Packaging customers and expanding capacity in our Trentwood rolling mill, which produces high-value-added flat-rolled products for Aerospace, High Strength and General Engineering applications. These are not small investments, so it has been crucial that we have a very good understanding of our customers’ needs, backed with mutually beneficial long-term agreements to secure the investments and ensure we deliver solid returns to our shareholders. Now let me explain how our business approach has influenced our investment decisions for 2025 and provide our outlook by end market application and on a consolidated basis. Starting on Slide 13, with Aero and High Strength, as I have mentioned in prior calls, commercial aircraft fundamentals remain very strong. Airline passenger miles and freight traffic continue to increase, driving the demand for new aircraft. Although our large airplane customers continue to work through supply chain challenges and recover from quality and labor issues that impacted deliveries in 2024, aircraft shipments are expected to increase in the high-single digits year-over-year in 2025. These OEMs hold years of aircraft backlog. In fact, the backlog is as strong as it’s ever been, with a high book-to-build ratio continuing into 2025. At Kaiser, we’re coming off a near-record year for conversion revenue in Aerospace and High Strength, even though we have been operating in a choppy environment, which has resulted in higher inventories at the OEMs. Despite strong demand, those inventories need to be worked through and will have a short-term impact on our shipments this year. So while our offerings in business jet, defense and space remain steady, we expect large commercial aircraft OEMs will enter a temporary phase of destocking that will lead to declines in our 2025 shipments and conversion revenue by approximately 5% to 7% year-over-year. Looking further out, we expect large commercial aircraft production rates to increase materially in 2026. This should align well with the additional 5% to 6% increase in capacity we expect to gain from our Phase 7 expansion at our Trentwood rolling mill, one of the very few rolling mills in the world qualified to supply heat-treated plate products for Aerospace and certain General Engineering applications. This investment is the start of our next major expansion at this facility and we are excited about the value creation potential it offers to our shareholders. This expansion is expected to be completed in the second half of 2025. Overall, the Aerospace and High Strength market will continue to provide a strong multiyear tailwind to our business. Let’s move on to Packaging on Slide 14. Members of our audience who have followed our story closely over the last several years since we re-entered the Packaging market are aware of the challenges we have faced along the way towards making our Warwick facility a major contributor to our business. I am proud of the tremendous work that has gotten us to where we are today and which will lead to a material improvement in our performance in 2025 and beyond. Our Warwick facility is one of a very select few domestic major aluminum rolling mills dedicated to the North American packaging industry. It is uniquely positioned as a long-term supplier of coated sheeted products into various beverage and food packaging applications, and we are investing to meet the increasing demand for these products. We are following the same playbook we have successfully executed in our other end market applications, where we focus on a very demanding niche portion of the market, deliver industry-leading products and services, and provide customers with a highly differentiated offering, all of which allow us to establish a strong market position and generate attractive returns for our investors. The investments we have made in Warwick are poised to transform our Packaging business and increase its margin profile. Our new roll coat line investment is in its final stages, both in terms of capital expenditures, as well as its readiness to deliver additional coated product. As we previously stated, the fourth roll coat line is a highly strategic project that we expect to convert approximately 25% of our existing capacity to higher margin value-added coated products. We are presently commissioning the new roll coat line and will begin customer qualification shortly thereafter. We expect to begin shipping coated product from this line in the second quarter of this year, with full production ramping through the remainder of the year. We’re also in the final stages of contract negotiations with customers for the remainder of the coating capacity this investment will generate and we now expect those multiyear agreements to be in place by the end of the first quarter this year. In anticipation of the completion of this project, in late 2024, we began to shift product availability towards a more coated-centric mix. This shift will result in total first half shipments being reduced temporarily as qualifications are completed and we begin shipments from the new line to customers. We expect shipments in the resulting higher-value mix to ramp slowly in the second quarter and then reach higher run rates in the second half of the year. As such, the benefit of our investment at Warwick will become more apparent in the second half of the year. To add context to that comment, for the full year, we expect shipments in Packaging to be up 3% to 5% year-over-year and expect conversion revenue to increase by 20% to 25% in 2025, with our numbers strongly skewed to the second half. As I have said before, we expect our investment in Warwick to yield 300 basis points to 400 basis points of EBITDA margin expansion to our consolidated business at full run rate. While we won’t guide quarter-to-quarter, we expect to see the full benefit run rate in the fourth quarter of this year and we believe it to be sustainable. We expect Packaging to be a meaningful driver of our long-term performance. The dynamics in the industry are extremely compelling. There is a solid long-term demand in both food and beverage packaging, a fair portion of which is being satisfied currently by imports. North American production is not currently sufficient to meet future demand, let alone current demand, particularly since some capacity has been reallocated towards other end markets. Including Automotive and Industrial. And we, of course, occupy a unique space in the market with our sole focus on Packaging at our Warwick facility. With strong secular growth expected in the 3% to 5% range annually, coupled with our longstanding customer relationships with multiyear contracts and a focus on higher margin value-added coated products, we are highly optimistic about our ability to drive strong results in our packaging end market applications. Turning to General Engineering on Slide 15, destocking appears to be over in long products. In fact, service center inventories for a certain of our long products are at lows not seen in over a decade. Shipments to start the year are encouraging and the ISM Manufacturing Purchasing Managers Index moved into expansion territory in January for the first time since October of 2022, after 26 consecutive months of contraction. Plate product inventories remain elevated, but we expect these will even out by midyear. Our initial outlook for 2025 is for volumes and conversion revenue to be up 5% to 10% year-over-year. As noted, we expect Phase 7 to expand our capacity at Trentwood rolling mill and enable us to continue to meet the growing needs of our customers for General Engineering heat-treated plates. Finally, turning to Automotive on Slide 16, North American industry production is expected to be flat to down modestly in 2025 compared with last year. While we have some exposure to a softer demand environment, we do have favorable resets on various contracts in 2025. Also, although our shipments are likely to follow market production rates, we are skewed towards the SUV and light trucks segments, which should continue to outperform the general overall market. Again, we are focused on niche product categories with few competitors and a solid mix of higher value-added products. Due to these factors, we expect conversion revenue to be up 3% to 5% on 5% to 7% lower shipments over 2024, consistent with expected industry production. Turning to our summary outlook for 2025 on Slide 17, we expect our full year consolidated conversion revenue to increase 5% to 10% and EBITDA margin to be up 50 basis points to 100 basis points year-over-year. In line with the expected ramp of our new investments, we anticipate that we will see meaningful EBITDA and EBITDA margin uplift in the second half of the year with around 60% of full year EBITDA expected to come in in the second half prior to any changes we may make on accounting inventory valuations. Our assumptions include the market conditions and outlook described, the timing of our investments being brought online, and current market considerations on pricing and availability of scrap. Notably, our assumptions do not include potential impacts from recently announced tariffs, which we are evaluating across all of our businesses. Our balance sheet will also continue to strengthen as we move through the year, as will our steady pace of deleveraging and our shareholders will reap the additional benefits from the largest capital investment cycle in Kaiser’s recent history. Finally, I’m pleased to announce that we reached early agreement with our United Steelworkers represented employees at our newer cart alloy plant and Trentwood rolling mill, taking us to the end of the decade. Our existing contract expires in September, but as we have done many times in the past, our teams came together early on and worked on a mutually beneficial contract to ensure uninterrupted service to our customers. I’m extremely proud of the relationship we share with United Steelworkers and I want to thank everyone involved on another successful outcome for our employees, our company and for our customers. In summary, we expect to exit 2025 with strong tailwinds resulting from our strategic investments and strong market positions. As I said on our prior call, we expect 2025 to be a transformational year for the company and that expectation remains unchanged. I look forward to sharing our continued progress with you throughout the year. With that, I’ll now open the call to any questions you may have. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from Bill Peterson with JPMorgan. Please go ahead.
Bill Peterson: Yeah. Hi. Good morning and thanks for taking the questions.
Keith Harvey: Hi.
Bill Peterson: Within the consolidated 2025 EBITDA guide, you have some key assumptions. You say recovery and scrap availability, potential tariff. You just spoke to that none of these include any tariff update, but what are you assuming in terms of scrap spreads, the impact to EBITDA, I guess, particularly probably on Packaging, but what are your assumptions at this stage? Is there a way to quantify the current impact from the tightness and scrap spreads?
Neal West: Well, what we used, Bill, we basically used how we ended up last year. So we had talked about last year that the efforts we had focused on for improving spreads for us on EBITDA and EBITDA margin expansion, we felt that our position was going to bring 150 basis points to 200 basis points of improvement. And as we spoke to the fourth quarter, or excuse me, the third quarter of last year, we said we’re at the lower end of that range. And that’s pretty much what we’ve modeled for the remainder of 2025. If scraps improve, the spreads improve, we’ll have a tailwind from that. But we’re certainly not rolling in that there’s going to be a big uplift at this point. And if you take a look at the tariff component, Bill, while we didn’t include any of that, we’re still assessing through all of our businesses what currently has been laid out. And I could say what we’ve seen from what’s been delivered so far on the announcements, the 232 exemption changes, and then the February 1 announcement that came out, we really think that this is a neutral to a positive thing for Kaiser Aluminum overall. And we may have some areas that we need to refocus on some of our supplying of billet or so forth, but something we can meaningfully take care of. On the positive side, we’ve seen some good pricing position. I mean, as far as, we were having -- we were facing some headwinds with imports. I think that’s immediately slowed that down and so that’s a positive for us. And then on the other side of it, we’re beginning to see customers talk about more domestic shipments. So that always blends well for Kaiser Aluminum moving forward. The one area that we remain waiting to see what takes place is on these reciprocal tariff impacts, which could play out. But again, our overall assessment at this time is that it’s a neutral to a positive for Kaiser.
Bill Peterson: Okay. Thanks for that. And maybe trying to double click or get a little bit more color on the end markets. Maybe first on Aerospace, recognizing you’re still kind of an inventory correction environment, but what are you hearing from your customers in terms of inventory in the system? When do you expect buyers move up the sidelines? And I guess as we think about progressing through the year, do you see the potential for the year-on-year shipment and conversion revenues declines to abate or maybe even turn to positive growth by year end or is that just too early to tell?
Keith Harvey: Well, we took a hard look at this last year a couple of times. Bill, if you recall, we said in June and then again in the September call that we felt there was going to be some depression on shipments and inventory concerns. And then, of course, we had some labor issues coming in. When you look at our fourth quarter results, we actually did very well. And I really pushed that to the strength of our contracts that we have in place. And I’m happy to communicate the strength of those contracts will continue into 2025. Now, the second part of your question, what do we think? How does the year look? I think the build rates are going to continue to increase with the large OEM airframers, Bill. And I think as those production rates will increase throughout the year, I think that destocking component or that demand could pick up noticeably, especially in the second half of the year. I also, we talked in our comments about General Engineering and we talked about this last year. We think that semiconductor stands a good chance of getting back some strength in the second half of the year. And then along with really low inventory levels at our service centers, any uptick in demand is going to drive demand for us. Now, the important factor that we’re looking at is that we’re beginning the, working in that Phase 7, that 5% to 6% increase that’s coming in. And quite frankly, I think we’re going to get very lucky here in that the demand should allow us to put that in with minimal impact to any of our customer shipments. And so we’re going to probably get a good timing on this investment. We expect to be done probably in the middle of the second half of the year. And then we’ll be ideally positioned to take advantage of any return on demand that we expect to see in the second half of the year.
Bill Peterson: Yeah. Thanks for those insights. And you mentioned General Engineering, but maybe shifting to Packaging. First, the fourth quarter sort of pricing was down. Was that a mixed impact? And then I guess maybe, can you remind us of how many remaining legacy Packaging contracts are expected to be renewed and what this could -- what kind of impacts you could have on pricing, maybe absent of tariffs that could even be a further positive tailwind?
Keith Harvey: Yeah. And again, Bill, good point on that. Nothing on tariffs is rolled into what our outlay of what our expectations will be on margin expansion as we move to higher value-added products. But you could see in that we led that shipments will be up only 3% to 5%. And by the way, you are correct. It was just mixed in the fourth quarter. We’re seeing really, really strong demand. I have to pay it that way. We’ve very anxious ourselves to get the new capacity on because our customers are screaming for more metal and we’re going to be in a great position to start delivering that in the second quarter sometime. But this change to higher value added revenue is indicative of what we’re saying. So, the second half of the year, we’ll begin to move up to full run rates and we’re talking about up to a 25% improvement on our conversion revenue. And so, that’s just indicative on very few more pound shift. So, that’s just a little insight as to what’s to come with that we think with this vision. And I reflect back to that 300 basis points to 400 basis points overall to the consolidated business when we get this thing at full run rate. It’ll begin in the second half of this year. But clearly, 2026, we’ll be able to really let this thing go.
Bill Peterson: Yeah. Thanks for sharing the insights, Keith. I’ll pass along.
Keith Harvey: Thanks, Bill.
Operator: Next question, Timna Tanners with Wolfe Research. Please go ahead.
Timna Tanners: Thanks for that great detail. I wanted to ask a few more. Is high level we’ve seen the Midwest premium double since last year. So, any timing issues with passing that through to customers or applications for working capital?
Keith Harvey: Yeah. Thanks for the question. Hey. Good morning, Timna. Our business model has really been set up to pass these through almost immediately. We have very few segments in our businesses where there’s a lag effect. And if those exist, they’re no more than 20 days or 30 days. But the majority of our businesses are set up to pass through metal right away. So, you shouldn’t see any drag on our business as metal ramps. And a good way to go back and look at how that reacted, go back and look at our data when metal was up around $2 a pound. And you can see that our spreads and margins maintain themselves through that period on the way up and on the way down. So, I think we’re pretty well insulated on that. Now, one thing we intend to do this year, Neal mentioned about the greater than $100 million of free cash flow we expect for the year. We’re obviously going to be very focused on discipline on the use of working capital, okay. And then again, we’re past that large timing of that basically three years in a row where we would have very high spending to get these investments ready to start delivering revenue. So, that’s going to be completed this year. And so, all of that combining together is going to make a very positive effect on our cash generation and on our balance sheet.
Timna Tanners: Okay. Thanks. I was wondering why you were talking about converting your inventory methodology. So, I wondered if that was because of a working capital issue. Is there something that we should think about for modeling purposes or is that imminent?
Keith Harvey: Well, I think, Timna, if you recall all last year, we had to evoke the LIFO impact at least two times or three times. And with that change that took place, we just -- we’re taking a chance to re-evaluate how we’re looking at and you could look at how are we going to evaluate. We’re going to look at FIFO, we’re going to look at average cost metal and we’re going to evaluate that against LIFO. And we’re going to say what best fits our business moving forward and so that we don’t all have to sit there and guess what that accounting scenario that we’re in is going to impact earnings. So, we’re going to go with the one that we think best fits our business. And I think you’ll hear more out of us on that issue very soon.
Timna Tanners: Okay. Great. And I think you’ve been really clear that there’s a lot of factors that will drive a better second half than first half. I’m just wondering if you want to put a finer point on it like percentage of EBITDA that might be more second half than first half because it is quite a confluence of factors between the Aerospace cycle that we know of between the ramp up at Warwick. I think I’m missing something, but there are several factors. I’m just wondering, is there any way that you can put a finer point on it for us?
Keith Harvey: Yeah. In the comments, Timna and I was talking so fast and so much that you may have missed it. But what we basically said, we expect of the total EBITDA for the year to generate approximately 60% of that in the second half. And that’s without any of those accounting changes that we may evoke and so forth. So, you could probably look at it that perspective of 40-60 for the year.
Timna Tanners: Got it. Did miss that. Yeah. Thank you. Okay. So, one more from me if I could. The NOLs are still…
Keith Harvey: Sure.
Timna Tanners: … supporting a pretty nice small cash tax position and your -- and I was wondering, since we haven’t seen the K yet, what that might look like if this might be the last year of that benefit. And then similarly, CapEx in 2025. I think you still have some remaining, of course, from the investments. But what should we think about? Is that falling off into 2026? Are there still decent investments you’re pursuing? Thanks again.
Keith Harvey: Yeah. So, I’ll handle the CapEx and then Neal can talk about the NOLs. Yeah. Basically, what we’re stating is that we’ll be around that $125 million CapEx for 2025. We sort of alluded to that last year. We said $100 million to $125 million. But $125 million is the general range we’re looking at currently and that is inclusive of finalizing the investment on the roll coat line and the Phase 7 expansion at Trentwood. And I’ll turn the NOLs over to Neal.
Neal West: Yeah. In regard to tax NOLs, we basically, as of the end of 2024, we have now utilized our NOLs. And as I know to my comments, we expect our cash tax payments in 2025, which will also cover federal, state and foreign taxes, will be in that $5 million to $7 million range in 2025, which is effectively the cash tax payments for 2024 taxes.
Timna Tanners: Got it. Thank you very much.
Keith Harvey: Thanks, Timna.
Neal West: Thanks.
Operator: I would like to turn the floor over to Keith Harvey for closing remarks.
Keith Harvey: Okay. Well, thank you for joining us today and thank you for your interest in Kaiser Aluminum. We’re looking forward to an exciting year as we bring these new investments online and position the company for strong growth in 2025 and the years ahead. I look forward to speaking with you again in April when we discuss our first quarter results. I hope you have a good rest of your day. Thank you.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time and thank you for your participation.